Operator: Ladies and gentlemen, thank you for standing by. I am Gaily, your Chorus Call operator. Welcome and thank you for joining the OTE conference call and live webcast to present and discuss the First Quarter 2024 Financial Results. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Michael Tsamaz, Chairman and CEO; Mr. Babis Mazarakis, Chief Financial Officer; Mr. Panayiotis Gabrielides, Chief Marketing Officer, Consumer Segment OTE Group; and Mr. Evrikos Sarsentis, Head of IR and M&A. Mr. Tsamaz, you may proceed.
Michael Tsamaz: Thank you, operator. Good morning to all of you. Happy to welcome you to OTE’s first quarter 2024 results call. This is my 54th consecutive quarterly call as OTE’s CEO and it’s my last one. I am honored to have held this position since November 2010 and to have had the opportunity to talk with you and with the market repeatedly over all these years. Looking back at the past 13.5 years, I essentially see three phases in the transformation we undertook together. In the first 5 years, our priority was to fix the basics and focus on growth. We set about to change the culture and to transform mindset and processes everywhere in the organization. We invested massively in technology, networks, people and customer experience, developed or revitalized services, unified the brand, and we cleaned up our financials, cutting debt and trimming our cost structure. By 2016, in a difficult environment, we have become a modern, high-performing, integrated fixed mobile operator, focusing on growth. In the second phase, our focus has been on simplification and digitalization of all internal processes and customer touch points. Our mobile app became the central interface with our clients. We outsourced all non-core activities. We built a lean and profitable growth model. By the end of this phase, 3 years ago or so, OTE had become an efficient, agile digital services provider, leveraging state-of-the-art networks to offer superior customer experience. We are now well into the third phase of our evolution. OTE is continuing to build its positions as a sustainable digital services provider with a positive impact on society and environment. Network superiority is a key element of our strategy, and our advanced deployment of the country’s densest fiber-to-the-home infrastructure is a testimony to our commitment, same thing with 5G mobile networks, where we operate far and away the most extensive coverage available nationwide. We have extended our brand territory and customer interactions with the successful launch of new digital services and financial services, insurance, food delivery. We are constantly gaining share in our markets. All told, over this period, there is a new OTE that has emerged. In a highly responsible manner, we have reduced our personnel expenses by more than 50%. We have also applied the most stringent cost discipline in all areas as well. As a result, while being subjected to stressful external developments, we consistently delivered some of the highest EBITDA margins amongst European telcos. Over the same period, we have returned more than €3 billion to our shareholders in dividends and share buybacks, and OTE’s market capitalization has doubled to nearly €6 billion. My last full year, 2023, has seen with intensifying competition. Our strong standing in the market has enabled us to come out ahead and improve our positions quarter after quarter. And now almost halfway through 2024, we’re in good shape for the coming periods. I am proud of the work we have done together to get OET where it is now. It has not always been straightforward, and I’m sure the next years will also bring the share of challenges. But the organization I will be handing over is in good operating and financial shape. It is designed for creating value for all its shareholders. A word on the first quarter before I turn the call over to Babis, who will give you more details. Illustrating the fundamentals I just discussed, it was a good period of steady growth in revenue and EBITDA as well as operating KPIs. Taken together fixed and mobile, momentum of revenue growth was consistent. ICT posted another sharp increase. Our fiber deployment continued at a rapid pace, as did fiber-to-the-home take up. In other words, all signs are pointing in the right direction, and we confirmed our 2024 guidance and shareholder remuneration. Babis, over to you.
Babis Mazarakis: Thank you, Michael. Yes, it’s been quite a ride and hello to all of you out there and welcome to this milestone call. As Michael noted, the beginning of this year has been solid on virtually all metrics. The quarter’s total group revenues rose by an exceptional 9% on a very strong Greece top line. Romania was impacted by further cuts in mobile termination rates. Group adjusted EBITDA after leases was up a steady 1% due once again to the mix of revenues during the quarter in Greece and to another contribution from Romania. Starting with Greece, where revenue jumped more than 10%. Like last quarter, the bulk of the revenues in Greece is attributable to low-margin revenue categories, mainly ICT and international wholesale. Our retail revenues were also quite up nicely, particularly if we look at fixed and mobile as a whole. Revenue from retail fixed services were basically unchanged from last year, recording a steady improvement in underlying trends. While legacy voice services continued to decline, revenue from broadband and TV, are moving in the right direction. In the context of secular contraction of the total access market, accentuated in the first quarter, we sustained and even extended our share of the retail fixed market, relying on our traditional strengths in network technology and customer service. TV posted another very robust quarter with an increase in revenues of more than 6%. We posted another record quarter in terms of total FTTH subscriber additions at 36,000, raising the total FTTH base to 287,000. Once more, this 73% year-on-year jump didn’t benefit from any form of government incentives to either connection or uses. We continue to expect a coupon program later in the year to give momentum – additional momentum to FTTH take-up and revenues. We maintained our lead in nationwide FTTH rollout, moving closer to approximately 1.4 million homes passed at the end of Q1. By the end of the year, we are aiming for a total of nearly 1.8 million homes. FTTH utilization rate as a percentage of home passed by OTE reached 22% or 30% – 35% of OTE customers alone. This represents material improvements over the previous year and attests to our technical and customer service capabilities. Year-on-year, OTE’s total number of fiber subscribers was up 76,000 to not far from the 1.6 million users, accounting for about 2/3 of our total broadband base. Turning now to TV. We had 688,000 customers at the end of the first quarter, up 6% from the year earlier level, driving the revenue increase for this segment with a strong sales mix skewed towards better packages. A major highlight of the period consolidating our content portfolio was the renewal for the next 3 seasons of our premium UEFA League football competition rights. We are also continuing to work with all parties involved in the fight against pay-TV piracy, which remains a brake on our growth. Other fixed revenues pursued and amplifying the post-election catch-up have come back. In the first quarter, they jumped by nearly 50%. ICT projects for their part saw their revenue contribution rise by more than 56% as public administration and private organizations continue to tap our expertise in network infrastructure, IT deployment and cloud computing. While this exceptional pace of growth reflects the delays we experienced in 2023, our pipeline is solid and we expect the double-digit upward trajectory to continue throughout this year. Wholesale revenues were also up sharply by nearly 20%, once again, due to international traffic, while higher-margin domestic wholesales continued to shrink by almost €2 million. In Greek mobile, we had another very strong quarter. Service revenues were up more than 3%, fueled by continuing pre to post migration and the renewal of COSMOTE’s more-for-more contracts. Both prepaid and postpaid delivered positive performances, with a particular solid contribution from postpaid, as you can expect. But higher top-up values also had a positive impact on prepaid ARPU. Hence, the revenues were also up this quarter. Data usage is continuing to increase at a rapid pace. In the first quarter, it averaged 12 gigabytes per user per month, a 39% increase compared to Q1 of 2023. This underlines the high quality of our networks, notably in 5G, in supporting customer experience together with growth of postpaid customer numbers and, of course, revenues. This quarter, we added 57,000 new postpaid users to a total of 3.2 million. The prepaid customer base was reduced on the mix of migration to postpaid and rationalization. Contract subscribers now account for 45% of the total mobile base. Finally, we are ahead of targets when it comes to blanketing the country with 5G coverage, and we continue to score very high in terms of customer appreciation across the board. Looking at our fixed mobile operations as a whole, we continue to be satisfied by our performance and competitive standing and remain confident in delivering solid full-year numbers. Total operating expenses, excluding depreciation and amortization and one-offs, increased, rose nearly 19%, largely reflecting the higher contribution in the revenue mix this quarter from activities associated with direct cost consumption, like the connection, handset sales. ICT and FTTH-related costs were all up significantly, while we were successful in keeping structural costs under control. In particular, personnel expenses were down this quarter, largely reflecting cost saving achievement through recent retirement programs. Personnel cost containment efforts will be pushed throughout 2024. As we had anticipated, we recorded an increase in energy costs of approximately €5 million following the expiration at the end of 2023 of beneficially negotiated contracts. This is expected to persist throughout 2024, but our energy consumption should be reduced over time and future costs might be controlled through longer-term contracts. Adjusted EBITDA after leasing in Greece exceeded €323 million and was up 1.5%, resulting in a solid EBITDA margin of 39.8%. Total revenues from Romania mobile operations were down 4% from the first quarter last year. Mobile service revenues, for their part, were down nearly 19%, impacted by the MTRs and subsidies in prior periods. The Romania business was further impacted by another 50% mobile termination rate cut imposed at the New Year. As a result, Romania generated EBITDA of €3 million in the quarter. In the rest of the group P&L, trends were widely consistent with prior periods. Net financial expenses continued to drop by 27% compared to the first quarter last year as interest income more than doubled on higher interest rates, but does not represent a material item. I remind you once again that our financial debt is low and that we have no refinancing deadline scheduled for over the next 2 years. Moving now to cash flow. Adjusted CapEx was up 47% in the first quarter at €118 million. In 2023, as I’m sure you remember, the timing of our capital expenditures have been pushed towards the back part of the year. When confirming our €610 million to €620 million full-year CapEx forecast overwhelmingly dedicated to the pursuit of the fiber-to-the-home rollout in Greece. Free cash flow after leases was €127 million, down from €226 million in the first quarter last year. The year-on-year drop reflects higher 2024 tax payments, as we have already communicated, as well as the seasonal CapEx acceleration. We are confirming our €470 million full-year free cash flow target. We also confirmed our 2024 shareholder remuneration guidance with a total envelope of €450 million. The €297 million cash dividend is subject to shareholder approval in June and the €153 million share buyback program is already undergoing. To conclude, the solid start to the year confirms to us in our confidence that we are on track following the right strategy, offering the solutions that our customers desire, and we will deliver on our targets for the full year. On this note, Michael, myself and the other colleagues are on the table ready to you take your questions. Operator?
Operator: [Operator Instructions] The first question is from the line of Draziotis Stamatios with Eurobank Equities. Please go ahead.
Stamatios Draziotis: Yes. Hello, guys. Thank you for taking my questions. And good luck to Kostas in the new role and to Michael with his future plans. Yes, just a question on the outlook. You’ve – you echo quite a confident message for mobile, which I think is well understood given what you’ve been delivering in the last few quarters. But just wondering about the message for fixed, which seems a bit more cautious. You referred to an overall contraction of the market. We did see fixed retail being flat this quarter, as you said, from plus 1 in Q4 after several quarters of decline. So I’m just wondering how does this outlook relate to the competitive landscape, pricing or even adoption of fiber. So are you seeing or do you expect ongoing ARPU dilution? Do you feel that fiber adoption is progressing relatively slowly? So that’s my question. Thank you.
Babis Mazarakis: Hello. In fixed, we are experiencing this, I would say, control of now losses coming mainly from voice. But we expect a lot of growth from the market, mainly coming from the high speed and the fiber. You have seen the results that we have an impressive, I would say, growth both in lines and in roll out and in connected lines as well. And we are expecting, yes, as you mentioned before, the state subsidy. We expect this around Q4, I would say, in the last quarter of the year.
Michael Tsamaz: [indiscernible] is under consultation.
Babis Mazarakis: It’s under consultation as we speak, yes, under public consultation. So we expect a very nice boost to the demand with the coupon. And obviously, we believe there is a turnaround in the fixed revenue side, although the market is contracting mainly due to the lower prices in the market – in the mobile market. But as we have seen, we’re going to have this turnaround within this year and the coupon will severely boost the revenue side.
Stamatios Draziotis: Okay. That’s great. And if I could follow-up regarding the competitive intensity, would you say that there has been any notable change in the last – I don’t know, in the last quarter maybe? Or are things pretty much as they were last year?
Michael Tsamaz: Stamatios, it seems that over the years the same story is being repeated. So competitors intensify their competition in terms of pricing without really improving the customer experience they offer. So they realize that if they don’t improve the customer experience, the benefits that they gain out of – by having intensified competitive actions does not really help them. So after they make this kind of moves, they become smarter, they become more rational. We’ve seen this in the last 14 years at least or even 17, since I was the CEO of the mobile unit that this thing repeatedly is being done all the time. Competitors intensify competition, they go into very aggressive moves, and then they realize that they have to change the strategy. Because what we know very well is that even if you have lower prices, it’s more important to offer the overall customer experience. So in our case, we focus more in driving or improving the customer experience instead of going into irrational, let’s say, other promotional moves or whatever. So I would say if I were to take a guess for the future, that again the lesson has been learned and they have become more – they have become smarter.
Stamatios Draziotis: Got it. That’s clear. Thank you. And just the last question, if I may. Regarding the tower spinoff, which you basically announced that you’re taking steps towards the separation of your tower assets into a separate subsidiary. I’m just wondering what this means effectively, exactly, because I remember this had come up a few times in the past and you had basically said that you are not really thinking of – well, of selling effectively this asset. Now separating it, what does it mean exactly? So what is your line of thinking behind this move? Thank you.
Michael Tsamaz: Okay. We cannot say very much now. As we’ve discussed in the past, we always examine opportunities in – opportunities that there might be in the markets, the same way we examine, let’s say, the opportunities into new markets, the same way we study or examine opportunities regarding the tower’s separation and what this means. But it’s very premature to have any, let’s say, discussion in depth on this, because we – practically, okay, it’s a team of people that are examining new opportunities. Nothing has come to my desk as a proposal or whatever. But it’s reviewing opportunities or examining the market or reviewing the situation or the structure of the company and what would be best for the future. It’s a constant task that our colleagues – team of colleagues has in the organization. So we’re not ready to have – give you any more information on this, because we don’t have it, we don’t have something…
Stamatios Draziotis: Okay. No problem. Thank you, and good luck with your future plans, Michael.
Michael Tsamaz: Thank you so much. Thank you very much. Next question?
Operator: The next question is from the line of Patrick Maurice with Barclays. Please go ahead.
Maurice Patrick: Yes. Good morning, gentlemen. It’s actually Maurice Patrick this time. But if I could ask a bit about the ICT side, I mean, clearly, you saw very strong ICT revenues in the quarter. It’s unclear to me, the EBITDA contribution from that. So maybe if you could talk a bit about the margin profile of the ICT business. And also, I think you talked about double-digit revenues, I think, still for ICT for the year. I’m curious as to whether the revenues are more installation-based, so they’re kind of one-off projects versus more sort of ongoing will be helpful. Thank you.
Babis Mazarakis: Yes. Thank you for the question. The margin that is – the average margin that is attached to these ICT project is around 20%. This is more or less the guidelines. Some of them are higher, but considered to save 20%. And the double digit is that we alluded to for the remaining quarters of the year comes from 2 points. One is the days of this, let’s say, timing that we had from a carryover of last year, which is basically implementations and then streamlined implementations that come through the pipeline. So the majority is implementation, but also as you also imply there is a sustainable maintenance revenue, which comes afterwards. But all this spike is implementation.
Maurice Patrick: That’s helpful. Thank you. If I could just ask one very small question, just related. Actually, not related, actually. But your data growth was up 39% year-on-year. Quite a few countries are seeing mobile data growth slowing now. I wondered whether you had any views in terms of why that growth still remains so strong. It’s not as if your usage per SIM card is dramatically lower. So curious as to why you’re still seeing such strong data growth. Thank you.
Michael Tsamaz: I’m sorry, but for some reason, probably the sound or something, we could not understand the question.
Maurice Patrick: Okay. Sorry, can you hear me now?
Michael Tsamaz: Probably it comes out distorted. So if you could just be a bit loud.
Maurice Patrick: Yes.
Michael Tsamaz: Yes.
Maurice Patrick: Yes. Can you hear me now?
Michael Tsamaz: Yes. That’s better
Maurice Patrick: Yes. Sorry. It’s the UK mobile telecom networks I thought they are tremendous. It was a question about some of the mobile data growth that you’re seeing increase.
Michael Tsamaz: Mobile data growth?
Maurice Patrick: Yes, which is not really slowing and it’s still strong? And I guess why it is still so strong still?
Michael Tsamaz: Why it is strong?
Maurice Patrick: Why it is still so strong? Other countries are slowing.
Babis Mazarakis: Okay. We see this growth because our market has lately, I would say, liberated the unlimited data plan, mainly in postpaid, partially in prepaid. We are still monetizing the data lot. The penetration of unlimited plans is still low, I would say, in the market. So there is room for growth there. There is potential. And this is the reason we are still seeing this data growth, and we will keep on seeing, I guess, for the next couple of years.
Michael Tsamaz: Last point on that, I would say that probably our market is in a different maturity level in terms of app usage or services usage over the phone, over the mobile phone. So as the services that you can use – for which you can use your phone are increasing. And as the market becomes more mature, I mean, the customers using the various apps either for entertainment or for, let’s say, servicing their needs, whatever needs, this helps.
Maurice Patrick: Okay, thank you.
Operator: The next question is from the line of Ierodiaconou Georgios with Citigroup. Please go ahead.
Georgios Ierodiaconou: Hi, thank you for taking my questions. I just wanted to clarify the comment you made earlier about the coupons contributing to some revenue acceleration this year. Can you maybe update us on the timing of when you expect the launch to be possible? And also, how quickly that could translate into the top line support. My second question is on Romania. And just any update on whether the sales process is progressing, whether there’s been any issues that are maybe delaying or stalling the sale itself. And then final question is around EBITDA run rate. Given the strength of your revenue, and I appreciate some of it is lower margin, but as Babis mentioned earlier, there are some margins within ICT. EBITDA growth was slightly lower than one would have expected given the revenue performance. So, curious if you can give us any indications, particularly on the indirect cost phasing during the year. Thank you.
Babis Mazarakis: Okay, regarding the coupon question, and as we said before, as we speak, it’s under the public consultation. We expect that it will take a few months to reach there, an official approval and implementation. So, we are expecting to see customers getting the coupon in Q4. I would say, September, October, I would say. So, the first revenue upside will be in Q4. And then the main flow is going to be in 2025. This is about the coupon question.
Michael Tsamaz: On the EBITDA, I think if we look at where we are versus where we were maybe in the past three, four quarters, I am sure we all realize that there is a step-up in the run rate from the low-ones to the mid-ones. And this is how we look at it in terms of the commercial metrics out there. And as we describe, the cost cutting is also there. And so the trajectory of the EBITDA growth comes not linearly, of course, because of the seasonality, etcetera, but through the steps. Note here also the fact that the energy cost is staging a nice stall of about €5 million, as we discussed, which is a particular event for this year after enjoying the better conducts in 2022, ‘23, ‘24, it comes back. And then as of ‘25, we aspire also to have some better bills if the market allows. So, we are positive about the – first of all, sustaining the current levels of EBITDA, which as we say, just step up versus the previous quarters. And obviously, we are looking to better rate growth if all what we are saying is crystallizing. So, as we said, I think we are positive about the trends. And to the fact that this trajectory continues also with – on the cost side, we don’t see why we shouldn’t step up even more. But this has to come in the next quarters, of course. Georgios, I don’t know if you had another left in your question.
Georgios Ierodiaconou: The other question was on the sale process in Romania.
Michael Tsamaz: Yes. I mean, we don’t have anything new to say, that’s why there is nothing on the press or the speech. As you know, we are working on the disposal. And once we have news, obviously we will relay to the – we relay this news to the market. But for the time being, nothing to mention.
Georgios Ierodiaconou: Right. Yes. I now wanted to congratulate Mr. Tsamaz for his leadership the last few years. It’s fair to say it hasn’t been an easy period to be in charge of a great company and I hope all the best in the future. Thank you.
Michael Tsamaz: Thank you very much. Mr. Draziotis, I appreciate very much your – sorry, I confused you with Stamatios. Georgios, it’s you, right?
Georgios Ierodiaconou: Yes, it’s me.
Michael Tsamaz: So, thank you very much for your kind words. Yes. Okay. All these years, it has been a very good, very positive experience for me as well, having to communicate with you and share with you our numbers, our strategy, our outlook. So, thank you for your support as well.
Georgios Ierodiaconou: Thank you.
Operator: Our next question is from the line of Memisoglu Osman with Ambrosia Capital. Please go ahead.
Osman Memisoglu: Hello. Many thanks for your time and the presentation. Just a few remaining topics that haven’t been asked about for me, any change in the wholesale – the high-margin wholesale revenue decline. This is obviously a topical item with other parties investing or planning to invest. So, I was wondering if you are seeing any changes in this part of the business on a quarterly basis? And then you mentioned in the press release and also in the call regarding personnel costs. I am wondering if we should expect a pickup in VES activity, any color there would be helpful. Thank you very much.
Babis Mazarakis: Okay. Thank you for the questions. On the wholesale, I think we mentioned that for the national wholesale, which is the high margin, the trajectory because of structural changes is that every month – every quarter, there is a small loss in this quarter, it was about €2.5 million. And the – this one is a combination of many things gradual reduction of the total access market, competition building their own infrastructure and some of the lines going there. On the other side, with the upgrade of the fiber to the home and because of the rates, we rebound some of these losses. So, overall, €2.5 million lower. This is a little bit lower versus previous quarter because we had mentioned numbers around €3 million, €3.5 million, but it’s in this area. On the personnel cost, the – what we see here is what we have been seeing in many quarters in the past, i.e., the reflection of the optimization and the rationalization that we are doing in the company, also assisted by the digitalization spree. And it’s a result of the voluntary retirement scheme that we implement every year. So, we see no reason why this shouldn’t continue in the next at least foreseeable quarters.
Osman Memisoglu: Thank you.
Operator: [Operator Instructions] No further audio questions. We will now move on to our written questions from our webcast participants. The first question is from John Kalogeropoulos with Beta Securities. Should we expect any extra shareholders’ remuneration should the sale of mobile telephony towers materialize? Thanks.
Michael Tsamaz: Okay. This is a hypothetical question. As I have said earlier, we don’t have anything substantial. And this is a hypothetical question.
Operator: Thank you. We will move on to the next webcast participant question from Zeremizakis Andreas [ph] with Ericsson. OTE has initiated a pilot 10 gigabyte fixed consumer service. Do you plan to launch it commercially within 2024? If yes, do you see such premium services driving fixed revenue, or is it mainly a technology demonstrator and/or a service differentiation factor to the competitors?
Babis Mazarakis: Yes. As we speak, the specific service is a demo. It’s a demo of capabilities of the fiber network. But it’s not only the speed of the network. There are many limitations within the customer premises, even in the WiFi speed or the customer equipment or the CPs. So, as we speak, it’s a pilot, it’s a demo. But obviously, for the near future, it’s going to be a premium service, and we are working on a proper holistic solution for high speeds within the premises. But I cannot answer if we are going to launch it this year or next. Thank you.
Operator: Thank you. The next question is from Angelina Carava [ph]. Management will proceed with announcing the question. Thank you.
Babis Mazarakis: Yes. Thank you. So, there are two legs to the question. First is when do you expect to – the completion of Telekom Romania Mobile sale? I think we have responded to that already. So, move on to second. Other operators have applied price increases, we will not, keep the same price policy in ‘24.
Operator: Thank you. The next question is from our webcast participant, Adrian Seceleanu, and I apologize if I am not pronouncing this correctly from Ziarul Financiar. Adrian Seceleanu, a journalist for Ziarul Financiar daily newspaper in Romania. What’s new about the sale of the Romanian operations? We haven’t heard any news since November 2023. In the – if the group of investors fail to obtain the necessary green light from Romanian authorities, will the sales process be re-launched? What are your thoughts about the value of the company given the EBITDA trend? Thank you and best of luck for Mr. Tsamaz and his new plans.
Babis Mazarakis: I think regarding the comments about the sales, we already answered that whenever we have something new, it will be announced. Regarding the trends – and this one comes with the already stated strategy of ours in the company, stabilize the performance and do the best in order to increase the value, and from, Mr. Tsamaz.
Michael Tsamaz: Thank you very much for your wishes and good words. And Romania has always been there. I was very fond of Romania and the investments we had there over the years. Unfortunately, the market became very difficult and very challenging and we had to exit. Anyway, thank you for your support.
Operator: Thank you. And our last written question from Mr. Adrian Seceleanu, update on the previous question if current discussion fails with the Romanian group of investors, no matter which the reason is, will the sale process of TKRM be automatically re-launched, or is there a chance to stay on the market?
Babis Mazarakis: I think much of this has been directly and indirectly answered. So, just to repeat, that whenever we have some news about the sale process, it will be announced properly to inform the investors. Thank you.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you.
Michael Tsamaz: Well, thank you once again for your attention, questions and interest in OTE. I am confident that our good momentum will once again be in evidence on our next call in early August. Personally, I will not be here to discuss it with you, but I have no doubt that Konstas Nebis and the whole team will carry the flame. I wish you all stay well and have a good summer. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling and have a good afternoon.